Operator: Good morning and welcome to the AMSC First Quarter Fiscal 2023 Financial Results Conference Call. [Operator Instructions] Please note this event is being recorded. 
 I would now like to turn the conference over to John Heilshorn of LHA. Please go ahead. 
John Heilshorn: Good morning, Anthony. Good morning, everyone, and welcome to American Superconductor Corporation’s first quarter of fiscal 2023 earnings conference call. I am John Heilshorn of LHA Investor Relations, AMSC’s Investor Relations agency of record. With us on today’s call are Daniel McGahn, Chairman, President and Chief Executive Officer and John Kosiba, Senior Vice President, Chief Financial Officer and Treasurer.
 American Superconductor issued its earnings released for the first quarter of fiscal 2023 yesterday after the market closed. For those of you who have not yet seen the release, a copy is available in the Investors page of the company’s website at www.amsc.com.
 Before starting the call, I would like to remind you that various remarks that management may make during today’s call about American Superconductor’s future expectations, including expectations regarding the company’s second quarter of fiscal 2023 financial performance, plans and prospects constitute forward-looking statements for purposes of the Safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by such forward-looking statements as a result of various important factors, including those set forth in the Risk Factors section of American Superconductor’s annual report on Form 10-K for the year ending March 31, 2023, which the company filed with the Securities and Exchange Commission on May 31, 2023 and the company’s other reports filed with the SEC. 
 These forward-looking statements represent management’s expectations only as of today and should not be relied upon as representing management views as of any date subsequent to today. While the company anticipates that subsequent events and developments may cause the company’s views to change, the company specifically disclaims any obligation to update these forward-looking statements.
 Also on today’s call, management will refer to non-GAAP net loss, a non-GAAP financial measure. The company believes that non-GAAP net loss assists management and investors in comparing the company’s performance across reporting periods on a consistent basis by excluding these non-cash, non-recurring or other charges that it does not believe are indicative of its core operating performance.
 The reconciliation of GAAP net loss to non-GAAP net loss can be found in the first quarter of fiscal 2023 earnings press release that the company issued and furnished to the SEC last night on Form 8-K. All of American Superconductor’s press releases and SEC filings can be accessed through the Investors page of its website at www.amsc.com.
 With that, I will now turn the call over to Chairman, President and Chief Executive Officer, Daniel McGahn. Daniel? 
Daniel McGahn: Thanks, John and good morning, everyone. We are very excited to be here with you today. I will begin today by providing an update and sharing a few remarks on our business. John Kosiba will then provide a detailed review of our financial results for the first fiscal quarter, which ended June 30, 2023 and provide guidance for the second fiscal quarter, which will end September 30, 2023. Following our comments, we will open up the line to questions from our analysts.
 We began fiscal year 2023 with strong orders momentum and notably improved margin performance. Total revenues for the first quarter of fiscal year 2023 exceeded our expectations and came in above our guidance range. Our first quarter revenue of over $30 million was driven by strong new energy power system shipments. Our grid segment revenue for the first quarter of fiscal year 2023 accounted for over 85% of AMSC’s total revenue and grew 30% versus a year ago period. The remainder of the revenue came from our wind business. Our grid visibility now extends into fiscal 2024 and our sales team has already focused on orders for delivery next fiscal year. We believe the work over the past 2 years will begin to payoff this fiscal year. We have a more diverse and more sustainable business with new and existing customers.
 During our first quarter, we generated over $34 million in New Energy Power System orders. Over the past several quarters, the business delivered an average of $40 million of orders per quarter. New Energy Power System orders have averaged about $30 million per quarter. Realized, that our lead times have extended to over a year for certain products. We see a diverse set of orders from renewables to semiconductor, to materials and mining to industrials and new orders for new military applications. These New Energy Power System orders come from serving the U.S. military providing efficient and reliable shore power to Navy vessels. This represents an exciting new opportunity for New Energy Power Systems. We certainly see potential future repeat business for this application. We also received orders from the U.S. Navy for additional installation support services for our Ship Protection System.
 During the first quarter, we saw diverse revenues from renewables, industrials, semiconductor as well as navy projects. About one quarter of our sales were to renewable projects, these include shipments of ECS to Inox as well as grid revenues for a 150 megawatt wind project and a 150 megawatt solar project. The Navy business was about 10% of total revenue and the remainder of shipments came from a variety of industrial projects. We see strong diversity of revenues.
 Now I will turn the call over to John Kosiba to review our financial results for the first quarter of fiscal 2023 and provide guidance for the second quarter of fiscal 2023, which will end September 30, 2023. John? 
John Kosiba: Thanks, Daniel and good morning everyone. AMSC generated revenues of $30.3 million for the first quarter of fiscal 2023 compared to $22.7 million in the year ago quarter. Our grid business unit accounted about 85% of total revenues, while our wind business unit accounted for 15%. Grid business unit revenues increased by 30% in the first quarter versus the year ago quarter. This year-over-year change was led by revenue growth from both our NEPSI and Neeltran product lines. Wind business unit revenues increased 58% in the first quarter versus the year ago quarter. This year-over-year change was driven by ECS shipments to Inox.
 Looking at the P&L in more detail, gross margin for the first quarter of fiscal 2023 was 21%. This is up from 10% in the year ago quarter. Gross margin for this quarter was favorably impacted by increased revenues and a more favorable product mix in our grid business unit driven by continued revenue growth at both NEPSI and Neeltran.
 Additionally, I would like to note that we experienced meaningful contribution margins from Neeltran this quarter. As I mentioned in previous calls, throughout fiscal 2022, we have been shipping off the originally acquired Neeltran backlog, which had depressed contribution margins. In the first quarter of fiscal 2023, we experienced more favorable contribution margins as we shipped post-acquisition Neeltran backlog.
 Moving on to operating expenses, R&D and SG&A expenses for the first quarter of fiscal 2023 were $9.7 million compared to $10.2 million in the year ago quarter. Approximately 13% of R&D and SG&A expenses in the first quarter of fiscal 2023 were non-cash. Our net loss in the first quarter of fiscal 2023 was $5.4 million or $0.19 per share. This compares to a net loss of $8.7 million or $0.32 per share in the year ago quarter.
 Our non-GAAP net loss for the first quarter of fiscal 2023 was $2.1 million or $0.08 per share compared with $6.8 million or $0.25 per share in the year ago quarter. Please see our press release issued last night for a reconciliation of GAAP to non-GAAP results. We ended the first quarter of fiscal 2023 with $23.1 million in cash, cash equivalents and restricted cash. This compares with $25.7 million on March 31, 2023. Operating cash burn in the first quarter of fiscal 2023 was $2.2 million.
 Now turning to our financial guidance for the second quarter of fiscal 2023, we expect that our revenues will be in the range of $29 million to $32 million. Our net loss on that revenue is expected not to exceed $5.3 million or $0.19 per share. Please note that our net loss guidance assumes no changes in contingent consideration. Our non-GAAP net loss is expected not to exceed $3.5 million or $0.12 per share. The company expects operating cash flow in the second quarter of fiscal 2023 to range from a burn of $1 million to a positive operating cash flow of $1 million. We expect to end the second quarter with no less than $21 million in cash, cash equivalents and restricted cash.
 With that, I will turn the call back over to Daniel. 
Daniel McGahn: Thanks, John. We significantly narrowed our operating cash burn during the first quarter and expect better performance and similar revenue levels during the second quarter. Our guidance contemplates generating cash in the second quarter. Factors such as our sales leverage, our backlog, and the benefit of previous price increases were all positive influences to our first quarter financial performance. And we expect those influences to benefit fiscal year 2023. We have a robust pipeline of opportunities, thanks to strong market demand and we are aggressively going after those opportunities. We have a variety of applications for industrial processes, and manufacturing, like mining, metal extraction, metal processing as well as chemical plants. These applications help harmonize the world’s desire for decarbonization, and clean energy with the need for more reliable, effective and efficient power delivery. The market drivers for a low carbon economy and a modern, reliable and secure power grid are in our favor. That’s why we believe to be well positioned for the longer-term.
 The world is quickly moving towards decarbonization to slow down climate change and create a path for a more sustainable world. We are at the center of this change. I like to give you a glimpse of how much the markets we serve have evolved and will continue to evolve. The U.S. Energy Information Agency indicates that the U.S. Electrical Grid has been stressed by us wind power generation increasing from 6 gigawatts in 2003 to over 140 gigawatts in 2020 and photovoltaic power generation increasing from almost zero in 2003 to approximately 125 gigawatts in 2022. The Edison Electric Institute estimates of the number of electric vehicles on the road in the U.S. is projected to approach 19 million in 2030, up for more than 1 million at the end of 2018. A typical electric car requires 6x the critical mineral inputs of a conventional car. These critical mineral inputs include graphite, copper, nickel, lithium, cobalt, rare earths, among others. An onshore wind plant requires 9x more critical mineral resources than a gas fired plant. The International Energy Agency states that since 2010, the average amount of critical minerals needed for a new unit of power generation capacity has increased by 50%. As the share of renewables has risen, the transition to a low carbon economy potentially increases demand for our new energy power systems to renewables and key materials for the new energy economy.
 Our key growth markets are renewables, mining and metal, semiconductor and military. We believe the march towards a more sustainable world will be a driver for the markets we serve in the foreseeable future. We see increased demand expected for renewable energy, electrification of transportation, and the mining and metals to support this transition, semiconductors and key materials for the new energy economy, and sustainable security for a more secure world. Our products are expected to play a central role in this evolution, and we continue to intensify our efforts and collaboration to take advantage of these trends. We continue to work towards growing a business that’s supporting power management at the substation level for renewables, mining and metals, utilities, and now for military uses as well as supporting customers in the semiconductor industry.
 In conclusion, we’re really excited we began fiscal 2023 on a strong note. We are broadening our revenue base with multiple products for the Navy. We have a total of 5 ship protection systems contracts for the San Antonio-class LPD. We are currently installing one of the ship protection systems and we’re in the process of delivering another this fiscal year. We are executing on orders for Inox Wind just a few weeks. Inox Wind announced type certification of the 3-megawatt class wind turbine. We are supporting Inox Wind as they expand their offering to include an exceptional 3-megawatt class wind turbine. Inox has done some corporate restructuring within their entity, which they believe will put them in a stronger financial position. We are supporting Doosan as they commissioned their 100-megawatt offshore wind farm this year, with our 5.5-megawatt wind turbine design and electrical control systems.
 Our installed Resilient Electric Grid System in Chicago is performing as planned, and has become a showcase for the technology. We are optimistic about our company’s future based upon market demand. And our demonstrated margin performance. We believe we will continue to realize the benefits of previous price increases. Our current backlog is strong and well diversified. Overall, the business is performing very well. And we are serving an expanded set of customers in our grid business already our transformative power solutions are moving the world forward. We are executing on our vision, and believe that our creativity can meet today’s challenges and help us progress to a better future. This means using future facing technologies to harmonize the world’s desire for decarbonization, and clean energy with the need for more reliable, effective and efficient power delivery. We believe in powering progress by designing, developing and deploying power control solutions that harmonize an increasingly complex energy system.
 It really feels like we’ve turned the corner and are very excited about our future. I’m not going to comment today directly on unvalidated scientific claims, we are and I believe, we will continue to be at the forefront of superconductor technology. Technological advances in our space only benefit us in that they sparked the imagination of what could be possible. We are capable of delivering what is possible today and are planning to continue to maintain this position. We have transitioned from a material science company to a manufacturer of completely integrated systems. Any technical advances that can further our offerings are welcomed. And I look forward to reporting back to you as the completion of our second fiscal quarter of 2023.
 Anthony, we will now take questions from our analysts. 
Operator: [Operator Instructions] First question will come from Eric Stine with Craig-Hallum. 
Eric Stine: So I just wanted to start with lead times if we could it’s obviously great to see the order pickup. And I know the nature of some of your products – the projects that you’re selling into are longer-term in nature. But just curious, what you’re doing on your end, whether it’s in the supply chain, whether it’s on the manufacturing side, to shorten those lead times? 
Daniel McGahn: Yes, I think it’s a great question as it’s kind of a pivotal one to how we manage growth. I think it has benefited in the market as lead times in general, have extended and kind of continued to extend. For a lot of our competitors, we still have, I think a competitive advantage and that we can turn orders faster than typically the companies that we would compete against. We’ve tried to work hand in glove with our suppliers to ensure that long lead elements are on order. And we have a lot of things of commonality of parts between product lines and such. 
 So we tried to leverage that as we possibly can. But I think it’s important if you look at the business a few years ago, our probably our average lead time was in the range of say 9 months for the overall business. And today it’s an excess of 12 months. So we’ve had suppliers that have told us that they need more than 60 weeks, 72 weeks for parts and recently we’ve seen those shrink back down to 52 weeks, 50 weeks 48 week, kind of lead time. So I think it’s important as people evaluate the rate that we bring orders in that they understand that the lead time and that’s I think it’s a great topical questionnaire, Eric. 
Eric Stine: And then on the wind, just curious, obviously it’s great that wind -- to see the order pickup, I guess that was back in May. Curious, is it safe to assume though that at least in the interim this is not a run rate if that quarter reflects that. Your revenues reflected that quarter and that you are still waiting for the 3 megawatt in that to move beyond prototype stage with Inox? 
Daniel McGahn: Yes. I think we are in the next stage. So we are at light volume production at this point, that orders kind of signified, Eric, that Inox is going into production. They have the first wind farm identified, and they put out an order with us, the parts for that, that’s the first installation. So we are moving beyond prototyping and into the light volume production. I think what we are hoping to come next is really the beginning of Inox scaling the 3 megawatts to get it ready for market. And if you listen to their excitement, that really is what they are making their future on. 
 So we have tried to be a very great partner to Inox as they have had their own challenges with their own business and policies in India. But it looks like that, that market is changing, it looks like things are moving up. We were focused now on providing stable demand for the 2 megawatts because that’s an existing business still for them. And then we look forward to being able to ramp. We are working with our supply chain, literally now, to make sure we are able to meet the future demands for Inox. But again, the lead times for those products could be in excess of a year. 
Eric Stine: And so just to confirm though, then this quarter, I mean is this kind of a runway – a run rate kind of in this $4 million plus range, a pretty nice step up sequentially or don’t get ahead of things, and that’s still maybe a couple quarters off? 
Daniel McGahn: I think we are a couple quarters off from seeing additional ramp. I think the rate that we are at now should be sustainable with the 2 megawatts, that’s at least what the demand presented has been. So I think if you compare this period to the year ago period, yes, it is a step up. I think we will be at this rate, I don’t know for how many quarters. But what we are hoping is there will be additional demand for the 2 megawatts and probably pretty significant demand for the 3 megawatts coming. 
John Kosiba: The revenue this quarter is only the 2 megawatts. There is no… 
Eric Stine: It’s only the 2 megawatts. Okay. 
Operator: Next question will come from Colin Rusch with Oppenheimer. 
Colin Rusch: Congrats on getting to what looks like a critical benchmark and emerging cash flow breakeven next quarter. If you look at the sales activity on the grid side, can you talk a little bit about the trend lines on the size of those deals? I am suspecting as you get into some of these mines, and Neeltran’s larger renewables projects, that there may be a drift upwards in terms of the total megawatts involved per deal? 
Daniel McGahn: Yes. No, I think your reaction -- you are asking the exact right question. And that’s exactly what we are seeing in the pipeline is the projects themselves are larger. And concurrently with that our offering is larger. Now that we have added the additional content that we are selling. So the good news is, as we see the business progressing, and we see what’s in the pipeline, average order per project is increasing. And that we need to make sure that we have the capability to be able to answer the call that our customers bring to us of these projects. So I think that’s great news for the company with larger project size and more content per project. 
Colin Rusch: And then with the Neeltran’s project, it’s great that it’s up and running and folks are looking at it. Can you just give us a sense of kind of how many people are looking at the results there and how that’s been changing over the last 12 months or so? 
Daniel McGahn: It’s been hundreds I think between staff within Exelon and other utilities outside that are very curious about how they get one for themselves. I think we have learned from the rollout of other products on the grid. It’s very important for utilities to buy it and use it on their own and really understand the use cases. I think probably the most telling feedback I can give you that’s kind of new on the product is, the value equation that we originally calculated for REG is probably much less than we thought. There are things that could be done with the grid when a REG system is part of it that I think we are beyond our fully understanding of how the grid could operate in the future. So I think we are learning and we are evolving what the value proposition is. But I think the value of an installation is going up because we are seeing additional ancillary benefits of being able to interconnect existing substations in the urban core. 
Colin Rusch: Actually, I have so many questions on that, but I will just take it offline. So appreciate the color there and keep it moving up. 
Operator: [Operator Instructions] Our next question will come from Justin Clare with ROTH Capital Partners. 
Justin Clare: So wanted to start off. Hey, why don’t you start off with the gross margins, significant improvement in Q1 here. I was wondering if the higher wind revenue was a factor here, are you seeing because of that higher revenue that the margins improving for that business? And then also just on Neeltran, what’s the lower margin backlog of Neeltran incorporated into Q1 and you still realize this margin expansion? Is there still lower margin backlog remaining, or have you basically worked through that completely at this point? 
John Kosiba: Justin, it’s John. So the first part of your question on when, yes, the revenue, the increase in revenue did add to our gross margin. So when did incrementally get better from a gross margin, so yes, it did helped. At the end of day, it’s $4.5 million. So you got to -- it’s not a material driver to why the margin went up, but it did contribute. To answer your question on Neeltran, Neeltran’s margins improved, because we have had a higher percentage of what shipped go out on the post-acquisition backlog, there is still some tail on the post -- on the pre-acquisition backlog, that’s been coming in significantly incentive, that should not be a driver in how we discuss our results moving forward. 
Justin Clare: And then just based on your guidance, at least on the top one, and the bottom line, it looks like Q2 could be somewhat similar to Q1, though it looks like cash flow generation improves. So maybe you could speak to why cash flow generation improves? And then maybe should we anticipate any meaningful change on either the gross margin profile quarter-to-quarter or in your OpEx between the quarters? 
Daniel McGahn: So we -- generally, we don’t guide on gross margin, or OpEx, we guide to net income and non-GAAP. But you can see in our guidance for Q2, it’s reasonably close to where we came in on Q1. Keeping in mind, we always guide to a product mix, for lack of better term worst-case product mix scenario. So your expectation on – okay, should the margins stay reasonably, I don’t think that’s unreasonable considering we don’t have – we don’t signal any significant changes to OpEx and our bottom line is reasonably close to where it was in Q1. So to answer your question directly, you got to reverse engineer it from our non-GAAP or GAAP guidance. And you do that correctly, you will see that. By definition, there can’t be significant changes quarter-over-quarter. 
Justin Clare: And then just one more, last year, you had been implementing price increases, and I was wondering if those price increases have essentially been fully reflected in the Q1 gross margin, or if there is potential for margin expansion here, as maybe you have some higher margin backlog that you have to fulfill in the future here? 
Daniel McGahn: I think we see the potential for gross margin expansion that come with revenue expansion. You are now seeing the benefit of the work that’s been done over the past more than a year to be able to better manage cross supply chain availability, and then translate that into more proper pricing to customers. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over Mr. McGahn for any closing remarks. 
Daniel McGahn: I want to thank everybody for their attention. I think the main thing we are highlighting is we got to new revenue levels. We are being able to hold this. We have a nice stable business. A lot of the hard work is starting to pay off this year, which we are tremendously excited about. We have been talking about getting to this inflection point to grow to this level and get margins in a more healthy range, which we have been able to deliver on in Q1.
 On the grid side, we see delivery of higher quantities to repeat customers and markets. We see sales synergies driving larger orders, which was part of the questioning and answering that we had. And then we see some integration synergies that we have already been able to realize through optimizing the cost structure. Continuing with grid on the ship protection side, we have the total of 5 SPS contracts for the San Antonio class. We are delivering on the first 2, installing one and delivering the hardware for the second one.
 We didn’t talk a lot today about mine countermeasure solution, but that project continues, and we think it’s an important part of our future, additional content coming for the U.S. Navy through that product offering. And on the wind side, kind of in summary, we have robust 2 megawatts demand, with upside growth opportunities there. And with Inox Wind announcing that they have reached type certification, we believe this is the beginning of the expected drive of additional customer demand there. So we tried to keep it very succinct today for you all. Hopefully, it’s very clear.
 We are very excited about the hard work that we have put in and starting to pay off the mood and the spirit of core here is really strong and really happy. And we look forward to being able to talk to you all again in another quarters time. So thank you everybody for your support and your attention. Good day. 
Operator: Conference has now concluded. Thank you for attending today’s presentation. You may not disconnect.